Operator: Hello. My name is Mary Ann, and I will be your conference operator today. At this time I would like to welcome everyone to the IntegraMed fourth quarter 2011 earnings conference call. (Operator instructions) Thank you. I would now like to turn the conference over to Norberto Aja, Investor Relations.
Norberto Aja: Thank you operator, and good morning, everyone, and thank you for participating in IntegraMed’s fourth quarter 2011 conference call. I am joined today by Jay Higham, President and CEO; and by Tim Sheehan, Senior Vice President and CFO. Before we begin, I would like to caution that some of the comments made on this call may refer to certain measures such as normalized earnings, which are not calculated in accordance with the Generally Accepted Accounting Principles or GAAP. Management believes these results are representative of the performance of the ongoing business of the company. For reconciliation of normalized earnings to GAAP results in accordance with regulation G under the Securities and Exchange Act, please see the company’s press release furnished as an exhibit to its current report on Form 8-k filed with the Securities and Exchange Commission, and which can also be found under the News tab of the company’s website. The content of today’s conference call contains time sensitive information that is accurate only as of today, February 16, 2012. IntegraMed undertakes no obligation to revise or update any statements to reflect events or circumstances occurring after the date of this conference call. I will now like to turn the call over to Jay Higham, President & CEO. Jay?
Jay Higham: Thank you, Norberto, and good morning everyone. Thank you for joining us today. After the great deal of effort invested in strengthening our human resources, balance sheet, and overall operations over the past few years, it is gratifying to share with you our Q4 and full year 2011 results. With record revenue across Q4 and the full-year, it is clear that our model to invest in both organic and new business growth is working, and that our strategy for the future of IntegraMed is sound. The investments that we have made in both our fertility and vein clinics divisions are beginning to pay off, contributing not just to top line growth, but also to cash flow and earnings per share. As a shareholder, I know the last few quarters have been frustrating as the market has seemed to ignore the expected benefits of our growth initiatives, so I thank you for your patience and confidence in our vision. With the results we have been able to achieve in the third and fourth quarter of 2011, and what we see going forward, I can tell you that I have never been more confident about the opportunity we have in front of us to build both our fertility and our vein clinic businesses in the coming years. This optimism is further supported by the substantial liquidity we have in our balance sheet to fund growth initiatives, using operating cash flow, net cash and even our $35 million bank facility. So let us run through the drivers behind the results so we can get to your questions. Starting with our Attain fertility centers, this segment had strong performance with revenues growing 8.5% to $50.9 million in the quarter, and by 9.6% to $200 million on a full-year basis. While the overall economy is still exhibiting some challenges, the value proposition we bring to our partners and our affiliate centers has never been more relevant and valuable, as we help drive improvements in patient care, patient traffic and operational efficiency, all of which help create increased profitability at the fertility center level, and at the company level. Over the last few years, we have made significant investments that have helped support both the operations of the business, as well as our ability to drive additional patient traffic, and reduce the total cost of operations across the business. Investments such as the deployment of a state-of-the-art patient relationship management system, or our recently opened shared services center in Florida helps us drive added efficiency and value. In addition, we are continuing to investing in building our already industry-leading online presence in order to reach a broader potential patient population. Online patient outreach initiatives are playing an increasingly important role in our business. For example, we now have 14,000 followers on our Attain fertility Facebook page. In our wall of hope, a key component of our social media outreach, has become a very popular feature, allowing those who are considering and/or undergoing fertility treatment to exchange information, thoughts and feelings making them feel empowered, and connected to others experiencing infertility. Importantly, our target audience of women between the ages of 25 and 45 is one that is very comfortable in using the Internet. Our fertility planner is another successful online features that allows women to take greater control of managing their fertility schedule, and due to patient demand, we are in the process of launching an App version of this feature shortly. I encourage you all to visit attainffertility.com to see for yourselves why we have over 100,000 visitors per month and growing. The site offers a broad array of information, including video streaming, general information databases, directories, and unique features such as our fertility planner. It is a great resource for patients, and a powerful marketing tool for building the profile of our fertility centers. It is one more example of the benefit we can offer to patients and fertility centers that join IntegraMed. Let me now discuss the performance of our Attain fertility center’s operations. The 8.5% increase in revenue was largely driven by the continued strength of our partner centers, including those in historically challenged markets such as Florida. This growth reflects the success of our business model in delivering operational efficiency, and increasing the center’s ability to win market share from non-IntegraMed affiliated centers. The strong underlying performance metrics, including 21% increase in IVF volume versus the prior period last year, and a 15% growth in intrauterine insemination treatments in a market that is flat overall reflect phenomenal impact on patient and treatment volume that our overall marketing programs can generate. By bringing added operational efficiencies and leveraging economies of scale via facilities management, marketing, administrative services, strategic planning, capital investments, integrated information systems and shared services, we allow physicians to focus more of their time on practicing medicine. And this is often the greatest determinant of success as medical outcomes improve, patient flow is handled more efficiently, and overall operational practices are refined. We are also highly focused on investing in the growth of our Attain fertility centers division, both in supporting the success of current practices and their growth and infrastructure needs, but also through the addition of new practices. Just last week, we entered into an agreement to manage the fertility center operations of the University of North Carolina Healthcare System. This is a modest size fertility center, with a great team of four respected physicians that are currently located in Chapel Hill, North Carolina. To support future growth and the ability to better serve the region’s patients, we have agreed to relocate the center to the Research Triangle Park area. We believe there is significant growth potential in a market that seems under penetrated in fertility treatment offerings, relative to the strong demographic base. In building the infrastructure, patient recruitment, and operational systems to capture that opportunity is where we excel. It is a win-win for all parties, including the physicians, the University, patients, and IntegraMed. This is our first university-based partner transaction, and we look at it as a unique public-private partnership that can be replicated at another university based fertility programs across the United States. The addition of the UNC partner contract brings the Attain fertility network to 15 partner practices, and 23 affiliate fertility centers throughout the United States. We continue to actively look across the US, and even Canada to identify top performing physician groups, who can benefit from joining the IntegraMed family. Though we are by far the largest fertility group in the country, our partner centers represent no more than 15% of the total market. There is ample opportunity to grow. We are optimistic in our ability to continue to leverage that opportunity, and expand our footprint in the coming years. Regarding our future business development, we believe that the market is receptive to consolidation, and we intend on pushing forward as quickly as possible. We have the track record, the human and capital resources to enter new markets, and we also intend on aggressively pursuing in market mergers in conjunction with existing partners. Regarding our Attain IVF program, this program provides a unique and attractive option for patients looking to undertake the significant costs involved in fertility treatment. We offer our affiliate and partner centers the ability to provide patients financing options that minimize some of the risk and uncertainty that the IVF process entails. The programs help patients and affiliates to distinguish themselves from centers without the resources or expertise to offer these options. The programs are funded 100% upfront by patients and/or third-party patient financing company opportunities that remove our credit risk. Though applications were down on a quarterly and annual basis, enrolments achieved a slight increase. The lack of significant growth was primarily due to the momentum of new program launches introduced in early 2010 that are now fully annualized. We are undertaking a number of initiatives to continue growth of this important program, including adding new affiliates to expand the geographic reach, and seeking additional product expansions to increase the percentage of patients who can qualify for enrolment in the program. In summary, we believe that we can continue to grow our fertility business through ongoing additions of new partners and affiliate contracts, as we continue to invest in the business in ways that produce even more competitive advantage for our partners and affiliates. Moving to vein clinics, I’m pleased to report that this segment is demonstrating the performance we had envisioned, delivering solid growth in both revenue and earnings for the fourth quarter. Principally driven by the contribution of $4.9 million in revenue from new clinics in Q4, compared to $900,000 a year ago, the segment posted revenue growth of 18% in Q4. Revenue from new clinics grew 650% in the full-year 2011, leading to a 21% increase in full-year vein clinic revenues. More importantly, this segment more than doubled its Q4 operating income, with improvements being driven by a number of new clinic launches over the last 18 months, moving to profitability. This move lowered the overall loss from clinics launched in the last two years from $1.4 million in the fourth quarter of 2010 to $200,000 in the fourth quarter of 2011. We didn’t open any vein clinics during the fourth quarter as we have learnt that the holidays and inclement weather across many areas of the country make it a challenging period for building market awareness, and initiating new patient inflows. Pushing openings into the first quarter allows us to ramp up our marketing efforts, in better alignment with patient demand and provides more efficient returns on investment. Thus we closed the year with 45 clinics in operation, having opened six clinics during 2011, and closed underperforming clinics in Madison, Wisconsin, and Palm Beach, Florida. A second Florida clinic is slated to close during the first quarter of 2012, bringing us down to 44 clinics. However, we plan to open 10 new clinics this year with 3 planned to open in Q1, and the remainder expected in Q2 and Q3. That will bring us to 47 at the end of Q1 and 54 by the end of the year. As for the impact of new clinics in 2012, we anticipate start-up losses in the $3 million to $3.5 million range spread evenly across the year. Importantly, the P&L and cash flow impact of our new clinic development and start-up cost will be smaller on a percentage basis, as our basic clinics continue to grow, and our new clinic revenue continues to grow. As for mature clinic revenue, many of our clinics are at or near capacity, both in terms of labor resources, as well as physical capacity. To address these issues, we are expanding some clinics, adding additional personnel and diagnostic equipment and implementing operational changes that should help to address treatment bottlenecks and improve capacity. We expect to see the initial impact of these initiatives over the coming quarters. In closing, we are very pleased with the performance of the overall business, our vein care expansion program is coming along nicely, and the benefits of these initiatives are now being reflected both in the top and bottom line. Our fertility center business continues to outperform the market, contributing very solidly to profitability and to cash flow. Given the significant opportunities we see for growth in each segment we are very excited about our future, and the opportunities to create greater visibility with investors, trading liquidity and share price appreciation. With that, let me turn the call over to Tim, who will provide some additional color on our operating performance and financials. Tim.
Tim Sheehan: Thank you Jay. Revenues grew both on a quarter-over-quarter and year-over-year basis across our Attain fertility centers and vein clinics divisions, enabling us to achieve record Q4 and full year revenues of $17.9 million and $273.6 million respectively. Beginning with the income statement, overall revenue increased by 11.1% to $70.9 million versus the fourth quarter of 2010 making the second record quarterly revenue for the company. The increase was primarily the result of an 18.2% increase in revenue from our vein clinics division, as new clinics begin to contribute to the top line. In addition, Attain fertility centers revenue grew by 8.5% on the back of the ongoing growth across both partner and affiliate centers. On a full year basis, revenues increased by 12.5% versus 2010, to $273.6 million on the back of strong performance in the second half of 2011 by our vein clinics division. Total contribution in the fourth quarter was up 21.5% to $5.8 million versus the fourth quarter of 2010, reflecting a 108% jump in contribution from our vein clinics division to $1.2 million. In the fourth quarter, our Attain fertility centers division contributed $4.7 million, an increase of 10% versus the fourth quarter of the prior year. On a full year basis total contribution was down slightly to $21.1 million, from $21.2 million [ph]. It is important to note that though it has been less the case than in prior quarters, contribution from our vein division continues to reflect new start-up losses due to the significant investment we are making to grow that business. The full-year contribution or operating income reflects this. G&A expenses were down on a quarterly and full year basis by 14.4%, and 8.8% respectively. This is primarily due to reductions in compensation, especially at the incentive comp line. Our tax rate in the fourth quarter was unchanged versus the fourth quarter of 2010 at approximately 38%. For the full year, our tax rate was 39.1% versus 39.8% in the prior year. Going forward, we expect our income tax rate to continue to remain approximately 40% on a consolidated basis. Moving to the bottom line, Q4 2011 net income and diluted earnings per share increased by 108% and 100% to 1.9 million and $0.16 respectively, as contributions by new vein clinics more than offset the significant investment we are making in growing the business. On a full year basis, net income and diluted earnings per share decreased by 2.7% and 4.9% to 4.6 million and $0.39 respectively. Despite the record revenues, full year net income and EPS were below [ph] year ago levels, principally as a result of the $1.65 million pre-tax provision for a legal settlement during the second quarter. Excluding the impact of the legal settlement, full year 2011 EPS would have risen 15% to $0.47. Now that we have annualized our recent clinic openings and built a larger base of clinics, the impact on operating income and earnings going forward should diminish. As such, we do expect that we will be able to drive continued revenue growth to the bottom line. Moving to the balance sheet, our cash position increased to $57.9 million versus $50.2 million at December 31, 2010. The increase in cash was primarily the result of our continued healthy generation of cash flow from operating activities of $23 million in 2011. Regarding our bank facilities, we continue to make use of the strength of our financial position as we further reduce it by paying 3.6 million down during the year. Q4 adjusted EBITDA increased by 48.3% to $5.7 million, compared to $3.9 million in the fourth quarter of 2010, and by 5% to $18 million compared to $17.2 million on a full-year basis, principally due to higher revenues. In addition to the balance sheet data provided in the release, our capital expenditures in the fourth quarter totaled $1 million, of which the majority relates to purchase a fixed assets and leasehold improvements related to growth initiatives. In terms of our underlying and operational metrics of the business, we continue to be strong in our accounts receivable collection, and DSOs on a consolidated basis stayed low at 29 days, as compared to 29.1 days a year ago. In summary, our results for the fourth quarter and full year 2011 demonstrate that our business is growing rapidly, our investments are yielding the desired results, and our ability to operate and grow the business remains intact. With that, let us now open the call to questions. Operator.
Operator: (Operator instructions) Your first question comes from the line of Brooks O’Neil of Dougherty.
Brooks O’Neil: Congratulations on a terrific quarter. It is really encouraging.
Jay Higham: Hi, thanks Brooks.
Brooks O’Neil: Yes. So have a couple of questions. First, I was encouraged to see that new partner program in North Carolina, and if I was listening correctly, it sounds like you are fairly optimistic at this point about the pipeline of opportunities, your ability to put some of your cash to work in that area. Is that accurate, and could you expand on that in any way?
Jay Higham: Well, I want to tell you that I’m optimistic from the point of view that I think this is a great time for us to be you know pushing forward very aggressively to bring new partners into the network. Obviously, we have the capital resources, I think we have the infrastructure to support it, we have people who are focused on it, and so I’m very optimistic and enthusiastic about our capability and interest in moving in that direction. That being said, it is always difficult to predict timing on any of these sorts of things, but I definitely want to communicate a strong enthusiasm and desire to bring more deals forward during the course of the year. So, you know, we’re really focused on it, and we think that this is a great time for us to be doing it. We think this is right for the market. I mean this is a market that you know across the United States as a whole, I think we all have to acknowledge, is a relatively flat market. And you know, you can see from our results, you know, we grew IVF volume, which is the principal underlying measure of performance by 21% in the fourth quarter. I mean we are doing some things, and that is at the partner level. We are doing some things with our partners that I think is just not being done across the United States. We are driving volume. The physicians are really engaged. We have a great group of people who are out there. We have the capacity and the interest in really driving this consolidation. So I think the timing is really good. I think we have the capital resources to do that, and we have the intent to do it. So I’m really enthusiastic about our capabilities here.
Brooks O’Neil: That is good. And I know that the North Carolina situation is in the large practice today, but do you think over time, I mean, not just necessarily at UNC, but maybe in that broad metropolitan area, there is significant growth opportunity for you as you have seen some other markets, where you established a beachhead and were successful in growing over time?
Jay Higham: Yes, absolutely. I mean, you know, it is a modest size. You know, it is big enough to get our attention. So it is a modest size. The fact that the university is part of the equation here is something that gets us really enthusiastic as well. I mean it is a powerful system. And you know, what we see at a lot of University or institutional based fertility centers is that you know, they don’t really have the capability of allocating the resources, and focusing the resources that are necessary for a modern, commercially successful fertility center to really grow and develop and become really meaningful. And that is where this public-private partnership comes in. It is a really unique model because we’re going to be able to maintain that powerful university connection, but we’re also going to be able to get them into a more commercial setting so that they can be a lot more competitive, and can really take advantage of the types of services and infrastructure that we can bring to the table. So I think this is one that will be very successful, and could be a really strong model for future type programs.
Brooks O’Neil: That is great. Let me just ask one or two more, and then I can hop back in line. Obviously over the last couple of quarters, there has been a little bit of turnover in physician staffing in both sides of the business, maybe you could just give us an update on how you are looking at relationships and your situation now?
Jay Higham: Well, physicians, you know, we haven’t had any turnover over the last, I think the last year to speak of. I mean we have the occasional situation with some of our vein clinic physicians who come and go for various reasons, but nothing out of the ordinary over the last, I think over the last 9 to 12 months. You know, we’re back up to speed in Boston. We are fully staffed there. So again I’m very optimistic that we are going to be able to continue focusing on our operations, and drive those operations forward and look forward to continue working with both sides of the business to do that.
Brooks O’Neil: Right. Tim mentioned G&A expenses being down partly because of incentive comp, I’m curious exactly what that is all about, since your results were so good, and then, two, just generally I guess, I interpret his comments to suggest that G&A expenses might creep back up in 2012, but I don’t want to put words in anyone’s mouth. So maybe you could just comment on the outlook for G&A this year?
Jay Higham: Well, we don’t give guidance as you know. Nice try. But yes, I mean, the incentive comp portion of our business comes in two forms. It comes in cash compensation that is earned on an annual basis, and then it also comes in the form of equity. In 2011, for the leadership team was a light year. I mean, we cut back on both the equity component of compensation, as well as the cash component of incentive compensation in 2011 to make that alignment with kind of what the shareholders were experiencing in 2011. We did have a strong second half of the year, in terms of our performance that gave us the capability of exceeding last year on that normalized basis. But you know, it was – what I have to say it was a year that was challenging for a lot of shareholders, and we wanted to make sure that management was experiencing the same thing that the shareholders were experiencing. I just want to put it that way.
Brooks O’Neil: Yes, that makes sense. Just one last question, just sort of trying to confirm that if I was hearing you guys correctly, you feel like you can balance continued investment in new vein centers and the resulting start-up losses with the growth of the vein center business, and hopefully the percolating [ph] profitability there. Is that something you are pretty focused on, and you think you’re pretty confident you can achieve?
Jay Higham: Well, we definitely, if you go back to 2000, beginning in 2010, and we have discussed this a whole bunch of times, but we embarked on a strategy at that point in time that we felt was going to be long term smart, which was to accelerate new clinic openings with our vein clinic business. We felt we needed to do this because this is a single physician model, and it is a one where we felt like we were beginning to bump up against the ceiling in terms of the matured clinics, and their capabilities continuing to grow, and sure enough it did happen in 2011. So I think it was smart for us to launch that program where we were really going to start a much more balanced approach to overall growth of the business. And it was sort of a reset for us. We had to embrace that reset on business performance, where we were going to take on the start-up losses, and we have done that now. We have annualized that program, and so now it is not the time to back down from that. We were happy with what we have done. We have learnt a lot about how to ramp up these clinics, and how to the whole new clinic start-up program. We brought in I think a really strong team of people to lead that effort. And we have learnt when you should open these clinics and when you shouldn’t open these clinics during the year, and we are taking it off ad [ph] and we are blowing it down to a program that I think is one that we are really excited about, and so we are pushing forward. And we are going to continue to embrace launching these new clinics, and again I think it is the right thing to do for the long term. I am encouraged by third and fourth quarter performance, where we are starting to get the solid underlying performance from that program, and think that we can continue that through into the future. So, yes, I’m not sure that completely answered your question there. But on the new clinic development side, that is something that we have to continue doing, and we are embracing, and we will do. On the fertility side, you know, we’re really excited by the strong growth of IVF and procedure volume that is materializing. I mean during the recession that was challenged. You know, we did continue to grow, but it was challenged, and so we are really encouraged to see that bounce back so strongly. We are bouncing back much stronger than the market as a whole. Now then we are also encouraged by that, so it is emboldening to continue the investment in the existing business, as well as investing and growing into new markets both through affiliates and new partner arrangements.
Brooks O’Neil: Great. Thank you very much.
Operator: Your next question comes from the line of Kevin Ellich of Piper Jaffray.
Kevin Ellich: Good morning. Just a quick question here, looking at the Attain IVF program, applications, enrolment in pregnancies, I believe they were all down on a year-over-year, just wondering what is behind that and how should we think about that?
Jay Higham: Well, enrolments are actually up slightly on an annual basis. So it is sort of flat. I think we have to acknowledge the fact that the enrolments are really flat at this point. We are really strong in 2010, as we brought in a new program to the mix there. And frankly, we didn’t have any network development that was going on. You know, that just didn’t happen in 2011, and we need to get back on just like with the vein clinics. I mean you reach the level of capacity with your existing number of centers that are participating with us, and so, we need to get back to a pattern of continually bringing in new affiliates and new partners. And I think that is kind of the missing equation. So I’m encouraged by what we saw with the University of North Carolina. I am encouraged that the team is energized to get back to that pattern that we had historically, and I think that is really what we need to do in order to continue to grow that program.
Kevin Ellich: Got it, and then, you said enrolments were actually up. I was actually thinking more in the fourth quarter, I think it was down about 10%, 11%.
Jay Higham: Okay. I was looking – I thought you had said down for the year.
Kevin Ellich: No, no. Just is in the quarter? It just had a lot of fluctuation on a quarter-over-quarter basis, is that why you have focused more on the annual change?
Jay Higham: I tend to look more at the annual. I mean, quarterly we can get some noise. You know, there were some unusual things going on, and I’m not sure frankly how to explain it. But we did see a slowdown in December particularly. Things I think have snapped back in January, so I’m less focused on sort of monthly and quarterly than the year. You know, we had a little bit of that. If you look at the vein clinic business, you had a little bit of that as well in the vein clinic where the same-store revenue growth was – same-store was actually down. December was a funky month for some reason in both sides of the business. So I’m not sure exactly how to explain that. We did have a lot of vacation time in our vein clinic segment. So I don’t want to overreact to what happened, and the fourth quarter can be unusual for a variety of reasons. So I think the reality here is that we’re sort of flat in the enrolment, and I think we need to get, like I said, I think we need to get back to network development to re-energize that.
Kevin Ellich: Got it Jay. That is helpful, and then, just going back to the strength in the IVF cases that were completed in the quarter, very strong obviously on a year-over-year basis, but you know, when you normalize things and you think about it long-term, what type of growth do you think we should think about coming out of IVF cases?
Jay Higham: You know, we have historically maintained sort of a 5% to 10% level year-over-year in this business on sort of what I will call same-store or same center basis. Do remember that we have a situation where this market is flat across the country, flattish. We are not going to be satisfied with that. I don’t think our physicians are satisfied with that. We have a group of very entrepreneurial physicians. You know these are really top notch group of people, who are interested in continuing to grow, and have been helping us to understand, you know the types of investments that we need to be making to support that growth. And I think that you know, that is a dialog that we are continuing to have, and we are excited about making those investments, and I think that we can continue to outperform the market overall, I have no doubt that that is going to be the case given the caliber of physicians that we have that we’re working with.
Kevin Ellich: Got it, and then just lastly, going back to the UNC deal, and your comment about public-private partnerships, you know, it sounds like you might have some other deals kind of in the works. Is there any expectation for timing, and is it more regionally focused, or is it kind of spread throughout the country?
Jay Higham: We are always talking Kevin. That is something that you know we have constantly been – we always do. So we always have a pipeline. I will say that over the last several months we have been re-energized in this area. Just like with the affiliates, I think the whole partnered business development format has not had the energy and attention that it should. And we’re re-energized in that area. So, I can’t make any predictions for you. I can tell you that management is really focused on it. I can tell you that we have a lot of enthusiasm for it, and you know, our ability to do that is critically important for the overall health of the business because as we grow our network, that is what generates a big influx of new revenue, and gives us the opportunity to reinvest back into the business. So it creates a virtuous feedback loop for the company overall. So I think that this is a really important thing for us to be able to do, and I look forward to actively pursuing it.
Kevin Ellich: Got it, and then just lastly, your comment there about getting people, you know, the team re-energized. You know, did you also put different incentives in place, or I guess, what are you trying, do you have any programs to motivate employees?
Jay Higham: I think we have a solid incentive program. We continue to tweak it, and look for ways to get people focused on doing the things we need them to do. So we have fine-tuned that. It is a matter of making sure people are focused in the right direction, and have energy focused on dusting and improving the current operations, as well as, in growing the business overall. So, it is making sure that we have the right balance.
Kevin Ellich: Got it. Okay. Thanks guys.
Operator: (Operator instructions) Your next question comes from the line of Nick Halen of Sidoti & Company.
Nick Halen: Good morning guys. Just have two quick questions for you. First one, I was just wondering Jay, if you could talk a little bit about pricing on the vein side, and any effects that your Medicare and Medicare reimbursements have had on that business, I guess recently in your expectations going forward?
Jay Higham: Medicare has a very little affect on us. We have only about 14%, 15% of our revenue in that business, comes from Medicare. You probably saw the news today that Congress looks like they are going to continue the so-called doc fix for Medicare. So that avoids a rather Draconian drop in reimbursement for Medicare. You know, had that come through, that would have hurt. You know, even though it is only 15% of our business. It definitely would have hurt. So we were happy to see the doc fix be put in place. You know, Medicare is something that we try to make sure we have as little exposure to as possible, 15% is about my limit for comfort. So, no, we are not seeing any significant reimbursement issues in the business.
Nick Halen: Okay. And then just lastly I guess, staying with the vein care side, you know, I don’t know how much you can tell us, but I guess can you talk a little bit about additional vein care treatment capabilities that you guys are exploring?
Jay Higham: So, we are exploring some. I mean, we have built, for the last 15 or so new clinics that we brought to market, we built 5 or 6 with some expanded capability. We are putting a C arm in, and we have different types of physicians in those centers. We have the capability of doing some more complex procedures with interventional radiologists and vascular surgeons. And this is giving us the capability. I don’t want to say, it is not a game-changer for us over the short term. You know, the traditional varicose veins is the bread and butter of this business. But we are looking at things like uterine fibroid embolization and other minimally invasive procedures that the interventional radiologist and vascular surgeons are comfortable performing, and we’re trying to niche those into the operations in the most efficient way possible in the clinics that have that capability. And that is a development program, I think one of the things that IntegraMed I think historically has been very good at is finding you know additional procedures, or adjacent markets that we can put an investment into, to see how we can continue to grow the business. We have done that historically in our fertility business, and we will continue to look for opportunities to do that. And I think there are opportunities for us to make other investments in our fertility business that will bring new business and into adjacent markets. And that is the same attitude that we are bringing to our vein care business, where we are looking for – were [ph] some additional procedures or new opportunities that can – we can bring to market.
Nick Halen: Okay, great. Thank you.
Jay Higham: Thank you.
Operator: (Operator instructions) There are no responses at this time.
Jay Higham: Okay. Thank you, operator. In closing, I like to thank our physicians, and the entire IntegraMed team for their efforts during the past year. We also want to thank the patients for their trust in us, and our shareholders for their support. We look forward to being active in our investor outreach over the coming year, and in order to gain more visibility for success of our model. I hope to see many of you at various conferences and marketing trips throughout the year. Should you have questions or wish to speak with management, please contact Norberto Aja at 212-835-8500 at our investor relations firm. Thank you for your continued interest in IntegraMed and your participation today, and that concludes our remarks.
Operator: Thank you for participating in today’s conference. You may now disconnect.